Operator: Good day, ladies and gentlemen, and welcome to the Q2 2019 Universal Forest Products, Inc.'s Earnings Conference Call. [Operator Instructions]. After a brief pause, I will turn the conference call over to your host, Brandon Froysland, Finance Director.
Brandon Froysland: Welcome to the Universal Forest Products, Inc. second quarter 2019 conference call. Hosting the call today are CEO, Matt Missad, and CFO, Mike Cole. Matt and Mike will offer prepared remarks and then the call will be opened up for questions.This conference call is available simultaneously and in its entirety to all interested investors and news media through our webcast at www.ufpi.com. A replay will also be available at that web site through August 25th, 2019.Before I turn the call over to Matt Missad, let me remind you that yesterday's press release and today's presentation include forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. These statements are subject to risks and uncertainties that could cause actual results to differ materially from the Company's expectations and projections. These risks and uncertainties include, but are not limited to, those factors identified in the press release and in the filings with the Securities and Exchange Commission.At this time, I'd like to turn the call over to Matt Missad.
Matthew Missad: Thank you, Brandon. And good morning, everyone. Welcome to our second quarter 2019 investor call. There are many headlines around the world and pockets of uncertainty seemingly everywhere you turn. But there is one thing I am certain about. We have the best team in the industry. I want to thank all of them for delivering exceptional results in the second quarter of 2019 and achieving record profits for the quarter despite a challenging lumber market.While sales were down 4% for the quarter to $1.26 billion, unit sales increased 5% overall, a solid result, but certainly not as much as we would hope for. One factor for our slower unit growth is a loss of some commodity business. We are consciously trying to eliminate sales which don't drive value. Growing revenue for the sake of revenue growth is not beneficial to shareholder value. So, we are focused on growing bottom line more than top line, while still investing heavily to support our customers to meet their needs. The bottom line focus saw terrific results as we reported earnings of $55.1 million or $0.88 per share versus $0.71 per share in 2018.A few quick financial highlights include: EBITDA for the quarter was $90.8 million versus $76.8 million a year ago. Year-to-date EBITDA was $157 million versus $130 million in 2018. New product sales were $175.3 million for the quarter, up from $149.1 million in Q2 of 2018. Year-to-date new product sales are $290.3 million, which is well ahead of our projections thus far for 2019.We use gross profit dollars per unit as a tool to measure performance because it takes out lumber market pricing as a variable. We were very pleased that gross profit dollars grew by 12.7%, more than double our unit sales increase. Now I'd like to discuss our individual markets, starting with the overall lumber market. The southern yellow pine lumber market followed a downward trend for most of the second quarter, then firmed up the last few weeks of the quarter. The random length composite index followed a similar path.Recent increased curtailments in Canada indicate that the mills are not willing to produce at a loss for any extended period. Availability of timber in Western Canada is also an issue, putting further pressure on these mills. For the quarter, the southern yellow pine market averaged 29% lower than 2018. More mill capacity has come online since last year, both from new mills and from efficiency enhancements at existing mills. The random length composite index is also well below 2018 levels, down 37 percent on average from 2018.Our inventory strategy is to make sure we have ample inventory for our customers' needs, with safety stock in case of transportation shortages or other contingencies. Our quarter-end inventory levels were 135.5% of June sales, which, although down from the 154% at the end of Q1, is still higher than it should be. We are carrying higher levels of position wood than normal at this time of year. We also have higher inventories of certain new products to meet expected demands and we have import items which were purchased at higher levels to protect against potential tariffs. In spite of these factors, we intend to continue reducing our inventory levels through Q3.The retail market was up 6% in the quarter, a very good increase. Our new products continue to drive our retail sales improvement. They also helped demonstrate our value to our customers who appreciate our investment in innovation. I have to share my excitement by highlighting a few of our new products. The Deckorators Tropics line has grown very well, while the premium Deckorators Voyage product continues to get rave reviews from contractors and customers alike. The Deckorators co-extruded and mixed materials railing systems continue their rapid growth. The complete Deckorators product line can be seen at www. deckorators.com.In our Siding, Pattern and Trim grouping, UFP-Edge has expanded to more stores. The UFP-Edge product line can be viewed at ufpedge.com. In our Outdoor Essentials brand, we are featuring several growth-oriented new products. Our Trellis line is now in 300 stores and will expand to another 253 stores in 2020.In 2019, we added our tree and garden stakes to more stores in the Pacific Northwest market. Our line of fencing continues to expand as well. In addition to new horizontal fencing options, we have added pre-finished corral boards to our product offering. We now have pre-finishing capabilities in 6 locations throughout the country and expect to grow that service. Our vinyl fence offering is expanding as we add more options for e-commerce oriented products.And we were recently awarded more picnic table business in the Midwest for 2020. Our Outdoor Essentials brand is committed to making the outside as enjoyable and livable as the inside of your home. The products can be seen at outdooressentialproducts.com.In the construction market, we saw a 2% increase in unit sales. Site build construction in our markets remain steady, while we had lower commodity sales into manufactured housing. In commercial construction and concrete forming, unit sales grew 15% as we continue to add customers in projects. Another bright spot for us was the industrial market where unit sales grew 7% in the second quarter. Our recent acquisitions in the industrial space added 6% of that growth, while our ability to add product and packaging solutions organically accounted for the rest.We saw growth in product assortment and value-add. And we continue our quest to be the complete industrial packaging solutions provider to our customers and are aggressively pursuing acquisition targets to help us achieve that goal. Our capital allocation strategy targets acquisitions at reasonable ROI-based values first, followed by greenfield growth and automation and efficiency projects. On the acquisition front, we have a robust pipeline of targets that meet our strategic objectives. In order to meet our desire to be the low-cost producer and to grow our businesses, we expect increased capital expenditures including automation for the foreseeable future. We intend to use the remainder of capital generated for cash dividends and opportunistic share repurchases.We are very excited about our business and we see many opportunities to improve it. Approximately 40% of our operations are still below their earnings budgets, which creates great upside potential. We expect most of these operations to catch up by year-end. While the quarter was excellent, we recognized that we have areas of improvement which could yield even greater results. For example, non-bonus related SG&A growth remains a challenge. Driving higher value-added sales and more innovation necessitates greater SG&A spending. Thus far, that increased innovation-related SG&A spending has generated a greater gross profit dollar return and is a net positive. While SG&A increased 5% year-over-year, in line with unit sales growth, it did decline as a percentage of gross profit to 50.7% compared to 54.4% last year.We are making changes to our systems to better capture discretionary SG&A costs and looking at several ways to streamline operations which would reduce the rate of growth of operational SG&A expenses. Production labor also remains one of our biggest challenges. Recruiting and retaining employees is critical and difficult at this time. We have implemented benefits changes to allow more choice to employees while also automating processes to make some jobs less physically taxing.Now I'd like to turn it over to Mike Cole, who will provide more details on our financial performance.
Michael Cole: Thanks, Matt. I'll begin with the lumber market. Overall, lumber prices were down nearly 37% and southern yellow pine prices were off nearly 29%. And as you'd expect, this reduced our selling prices, sales dollars and investment in working capital. It also impacts our comparisons of income statement as a percentage of sales with last year. For this reason, we think it's important to compare changes in our unit sales with changes in our costs and profits.Alternatively, the last page of our press release provides a year-over-year comparison of our income statement as a percentage of sales, adjusted to report our current year sales at last year's prices. This removes the impact of lumber market volatility and we feel it helps provide a reasonable comparison. Moving on to the income statement, overall sales for the quarter dropped 4%, consisting of a 5% increase in unit sales, offset by a 9% decline in selling prices. Organic unit growth was 4% with all markets reporting an increase. We were encouraged our new product sales growth accelerated to 18% this quarter, while continuing to contribute to our gross margin improvement.Breaking down our sales by market, sales to the retail market dropped by $24 million or 4%, resulting from a 10% decline in selling prices, offset by an organic unit increase of 6%. This unit increase outpaced last quarter's rate of 3% as weather improved, our growth of new product sales accelerated and shipments of our Deckorators product increased to meet customer stocking requirements for new business we recently won. Moving on to the industrial market, as sales to these customers increased 3% driven by a 7% increase in units, offset by a 4% drop in selling prices. Acquisitions contributed 6% to unit growth, while organic growth was 1%, which was lower than the 6% we reported in Q1. This is due to adding fewer new customers as we've been emphasizing profitability and margin requirements over unit sales growth. We were pleased that new products and adding new locations of existing customers contributed $11 million of growth this quarter.Our overall sales to the construction market dropped 10%, driven by a 14% decline in selling prices, offset by a 4% organic unit increase. Within the construction category, our unit sales increased by 5% to commercial construction customers, 5% to residential and 1% to manufactured housing. Moving down the income statement. Our second quarter gross profit increased by $21 million or nearly 13%, surpassing our 5% growth in unit sales as our profit per unit improved. The overall gross profit increase was comprised of an $8 million improvement in our industrial gross profits, nearly $5 million increase in construction and a $7 million jump in retail. We were pleased with the profit per unit gains we experienced in each market, especially when considering volatile lumber prices as our people continue to do a great job of executing strategies to drive more value-added business.As I mentioned earlier, lower lumber prices impact comparisons of our year-over-year gross margins. Referencing the table in the press release, as I mentioned earlier, our reported gross margin increased 230 basis points to over 15%. And we believe that 130 basis points of this increase was due to lower lumber prices, while the remaining 100 basis point improvement was primarily due to favorable mix changes, resulting in more value-added business. Continuing to move down the income statement. We've provided a table at the bottom of the page that separates bonus expense from other SG&A expenses. Accrued bonus expenses totaled over $18 million this quarter, a 26% increase driven by the growth in our pre-bonus operating profit and an increase in our return on invested capital.Our SG&A excluding bonus expense increased by $4.5 million or 5%, which is in line with our unit sales growth. The dollar increase is due to a combination of recently acquired operations, personnel costs tied to higher headcount and an increase in marketing costs to drive sales of certain branded products. As we've mentioned before, we evaluate SG&A as a percentage of gross profit in order to remove the impact of lumber price volatility and consider the impact of value-added sales mix changes that require higher SG&A. We were pleased this ratio dropped to 51% this quarter compared to 54% last year. Sequentially, our SG&A expense was up about $800,000 from last quarter due to variable selling costs, offset by some small foreign exchange gains.Driven by these positive factors, our operating profits increased 22% and our EBITDA increased 18% for the quarter, well in excess of our 5% increase in unit sales. Moving on to our cash flow statement. Our cash flow from operations for the year totaled $70 million and was comprised of net earnings and non-cash expenses totaling $123 million, offset by a $52 million increase in net working capital since year-end. The seasonal increase on our working capital is much less this year due to lower lumber prices. We measure our cash cycle to assess our working capital management. And for the second quarter, it increased to 53 days compared to 49 days last year, primarily due to an increase in our day's supply of inventory.Investing activities consisted primarily of capital expenditures, totaling $42 million, including expansionary CapEx of almost $15 million. We believe we'll spend between $90 million and $100 million this year on currently approved projects totaling $113 million. Large areas of spending include projects to replace our capacity in South Florida resulting from the sale of our Medley facility last year, expand the capacity and enhance the productivity of our Deckorators decking product line due to favorable demand trends and share gains we've achieved and several projects to expand manufacturing capacity to serve industrial customers and achieve efficiencies through automation. Financing activities primarily consisted of almost $15 million in net repayments on our revolver and $3 million in payments on other debt. We also paid over $12 million in dividends in June at a semiannual rate of $0.20 a share, an 11% increase over last year.With respect to our balance sheet and capital structure, our net debt excluding operating lease liabilities now recorded in the balance sheet under new accounting rules was about $192 million at the end of Q2 compared to $283 million last year. The strength of our cash flow generation and balance sheet provides us with plenty of capital to grow. Our highest priorities for capital allocation are currently capital expenditures and acquisitions based on the strength of potential returns, but we always seek the highest return for investors and we'll allocate more to dividends or share buybacks if appropriate.That's all I have in the financials. Matt?
Matthew Missad: Thank you, Mike. Now I'd like to open it up for any questions you may have.
Operator: [Operator Instructions]. Our first question comes from Ketan Mamtora with BMO Capital Markets.
Ketan Mamtora: Matt, Mike, congrats on a very strong second quarter. Maybe just starting off, just touch upon kind of what came in better than what you guys were expecting heading into second quarter, maybe from an end-market demand standpoint or the way you all manage costs, maybe just talk a little bit about that?
Matthew Missad: Yes. That's a good question, Ketan. I guess what I would say is that a lot of it's driven by the product mix that we had. We sold a lot more of our value-added products during the quarter. That made a big difference. And I think our guys did a really great job of executing based on the lumber market. They did a nice job in timing their purchases. And I think that helped to build in more margin for the for the quarter.
Ketan Mamtora: Okay, that's helpful. And then on the retail side, some of the recent reports that I've seen on [indiscernible] margin expenditures, it seemed to suggest that the market has been a little bit weaker than what most were expecting. So, can you just talk about what you guys are seeing? Certainly, second quarter was much stronger than I was expecting. So, if you can talk about what you guys are seeing right now, that would be helpful.
Matthew Missad: Yes. Again, I think, obviously, the retailers are struggling with the lower lumber market as well. So, if they look at their sales dollars, revenue dollars, that's going to impact them somewhat. I think, again, for us, it was the types of products that we're selling. And I think we picked up market share certainly during the quarter on a lot of our specialty products, including Deckorators, for example. So, I think that's probably the difference that I would say for us versus others.
Ketan Mamtora: Got it. That's helpful. And then just last question on sort of use of cash. You highlighted CapEx is certainly a priority, M&A as well. Balance sheet is in a great shape. So, talk about kind of how do you balance all of this and at what point do you say, okay, net leverage has reached a point where kind of it doesn't make too much sense? And from a valuation standpoint, have those valuations eased or what you're hearing around that that will be helpful?
Matthew Missad: Yes, I think if you're talking, Ketan, about the valuations in the acquisition space, again, we tend to be a little more conservative. And as I said before, the pipeline is very robust right now. I think we have an opportunity to put together some transaction. So, we're optimistic about that. I think in terms of the automation projects, we actually have a lot of projects where capital is being requested. So, I think we have ample uses of the cash. We're just trying to be judicious about how we use it.And I know people talk often about a slight downturn at some point in time over the next few years. We also want to make sure we have plenty of dry powder available at that time, so we can make some opportunistic buys. So, we feel real comfortable with the balance sheet. And as you're right, it's very, very strong. Mike Cole and his team have done an outstanding job with that. And for us, it's about how do we manage that the best, make prudent investments now and also save some of that powder for later.
Operator: Our next question comes from Reuben Garner with Seaport Global Securities.
Reuben Garner: So I'm not sure if these two are related or not, but you mentioned a loss of commodity business or maybe culling some commodity business. Can you tell us what segment that was in? And maybe if it's not industrial, can you talk about what kind of you're seeing in the industrial space? 1%, I think, was your organic unit growth, is a little softer than you'd been growing. And, obviously, you guys have a lot of drivers there. So maybe just talk about those 2 things and if they're not related.
Matthew Missad: Yes. There may be some of the commodity business in the industrial space. I think there'll probably be some more of that as we look to rationalize the customer base there where we're not making money or not making much. So, I think industrial is part of it. I think the bigger chunk probably in Q2 was manufactured housing. You probably saw a bigger loss of commodity business there. So, if I were looking at it that way, man H [ph] second quarter was more. I think there's still some room in industrial where we can cull some low margin business.
Reuben Garner: And can you quantify what the dollar amount was that you maybe culled or walked away from in the quarter?
Lynn Afendoulis: That's hard to do. Reuben, a good question, but it's hard to do. I would have probably typically expected to see organic growth at about 4%, 5%. So, I think culling and not adding new customers probably drove the 1 % gain in organic sales versus the 4%, 5 % that I would typically expect.
Reuben Garner: Got it. Very helpful. And the SG&A side, so SG&A, you're obviously spending or investing to grow some of these value-added businesses. Is the right way to think about that going forward that you may grow SG&A in the non-bonus portion with your unit sales to continue to drive that strength in that gross profit-enhancing part of your business?
Matthew Missad: Yes, I think that's a very reasonable target.
Reuben Garner: All right. And then lastly, I'd be remiss if I didn't ask about Deckorators. You called it out in the press release. I guess a few small questions there. Any update on the size of the business now? Obviously, it's been growing pretty fast for you guys for a couple of years. You've got the new business wins. And, I guess, in that same vein, you mentioned a sell-in with a recent business win. Was that kind of a 1-quarter phenomenon or should we expect that you'd see that for another couple of quarters?
Matthew Missad: Yes, it's a great question. So I think the business is going well, the takeaway is going well. I will tell you, I think there's probably a little bit of onetime initial stocking during the quarter that won't be repeated. But I still expect there to be a good, steady, solid growth in that product line.
Reuben Garner: Okay. And I'm going to sneak one more in. You mentioned potentially investing in capacity for that business. Can you tell us where your utilization stands today and the investments you're looking to make? What kind of capacity -- for percentage increase in capacity you're making?
Matthew Missad: Yes. So I guess if we were to look at, and it depends on the different product lines, but I think what we would have is roughly a 20 % increase in capacity with the investment we're targeting right now.
Operator: Our next question comes from Steve Chercover with Davidson.
Steven Chercover: I also wanted to, I guess, parse a little bit, within Deckorators, you've had some new product launches and you've got organic volume growth. So, how much of Deckorators' growth would be lumped into the new product category as opposed to organic growth?
Matthew Missad: Yes. I think, Steve, one of the exciting things for me about Deckorators is that they continue to innovate, continue to come up with new products. So, I would say, a very large portion of their business is new product driven. And given the shorter product life cycles in that space, that's really critical that they continue to innovate. So, if you are looking at it, I would say there's a good percentage of their business that is new product related.
Steven Chercover: So within retail, even though the bulk of the organic growth with Deckorators, there's another bucket of Deckorators' growth that would be within that $175 million in new product category?
Matthew Missad: Correct.
Steven Chercover: Okay. All right. And there's a little bit of a benefit of kind of the first time placement. But, obviously, you're gaining share. So, primarily with Home Depot or --?
Matthew Missad: I really don't want to talk too much about specific customers. But, yes, the Deckorators product line is not in Home Depot in the US.
Steven Chercover: Yes, I thought that was Canada. Okay, terrific. I'll switch gears. You also did better than we anticipated in residential construction. Is there anything noteworthy you can share from a geographic standpoint? And then, how much of the outperformance versus the underlying starts might you attribute to increased truss adoption?
Matthew Missad: Yes, I would say that the performance on the construction side is really a tribute to the execution of our individuals that are running those businesses for us. They've done a really good job. I would say the market -- the markets that we serve tend to be more stable and we've kind of maintained that discipline about trying to stay in the areas where the housing didn't boom and bust. So, as we look at that, I would say they still have very solid backlogs in those markets, but it's largely execution. I would not say that there's a lot attributable to increased adoption of trusses at this point, Steve. I think it's better execution and more stable markets that we're in.
Steven Chercover: Okay. Two more quick ones to make sure I cover all the segments. On the construction side, I know you guys were experimenting with a new lagging material for large projects when there's a need to shore up a very large excavation pit. Any early indications on the success of that material?
Matthew Missad: I think the material itself will work well. Obviously, we've got to get it into the marketplace and sell it. So, not quite sure how the adoption of that will work or what kind of timeframe it'll take, but that is one of the benefits of seeing our facilities.
Steven Chercover: Yes. And then, finally, on the industrial side, we kind of look to you as a barometer of what's going on. And you've indicated that the whole world thinks we're going to slow down at some stage. Have you guys seen any indication in your order files that things are slowing down? Because I thought you were running to capacity.
Matthew Missad: Yes. I don't see anything that would indicate a general slowdown. Obviously, there are certain businesses in certain industrial markets that, from time to time, may ebb and flow. But there's nothing that we've seen at this point anyway that indicates a general slowdown. The interest rate environment is still very beneficial for business. So it seems to be kind of a steady, steady as we go process right now.
Operator: Our next question comes from Dan Jacome with Sidoti & Company.
Daniel Jacome: Two questions. Just to go back to the business you culled or walked away from, I know you called –you said it was a little bit within the industrial segment. But can you help us understand how much of it was tied to, let's call it, product SKUs that are indexed to the lumber market and then product SKUs that have fixed selling prices? The only reason I'm asking is because you called out the industrial segment as being one area where you saw business that you had to walk away from. And in that segment, if I recall correctly, a lot of that stuff is fixed selling prices, I think.
Matthew Missad: That's a good question, Dan. I think the best way to look at it is if you look at true commodity-type items, which is basically lumber, lumber items and panel goods that we do very little too, so more of a direct shipper, a wholesale type sale, that's going to be more variable priced. And those are the types of sales that generally are ones we look at and say, are these value add for us? Are they value add for the customer? So, those would be more of what we're seeing.
Daniel Jacome: Yes. So treated lumber in industrial segment is one way to think about it?
Matthew Missad: Yes. Very little treated lumber in the industrial segment. Again, it'd more lumber and panel goods that we're just going, truckloads of plywood, for example.
Daniel Jacome: Just one more. Just want to talk a little bit about your free cash flow. Very strong. If you just look at the first half to date versus what you did the first half the day going back. As far as my model goes, several years. The second quarter itself was very strong. Keeping in mind that lumber price volatility obviously had -- it was a tailwind to the inventory dollar change quarter to quarter.So I'm just trying to understand, how much of that very impressive excess cash generated in the quarter came from that? And then, how much was -- everything you guys are doing internally to just better manage inventory. I'm just mentioning it because I think you talked a lot about the safety stock and things that you're doing internally. I know it's a very different environment versus a couple of years. So, I'm trying to understand how you're looking at it. And have you internally -- is there some sort of paradigm shift in how you're thinking about working capital or just kind of -- just like a onetime really abnormal year?
Lynn Afendoulis: Yes, I think that has more to do with the level of the lumber market and the investment and working capital. So in that sense, it's a bit of an anomaly. Last year, the total investment and working capital from year-end was up $140 million. With lumber prices being much, much higher obviously than they are this year. This year, it's only $52 million. So that change there to me is more to do with the level of the lumber market than it is anything else.
Operator: And I'm not showing any further questions at this time. I'd like to turn the call back over to Matt.
Matthew Missad: Thank you. As you can tell, the first half of 2019 was exceptional and puts us on a great path to achieve exponential improvement. Gross profit growth, more than double unit sales growth creates encouragement for the second half of the year. And like the US Women's World Cup team, our team has the desire and ability to win and is willing to put in the hard work and dedication to succeed. Congratulations to the US women's team and congratulations to our U.S. [indiscernible] team. While the U.S. team gets medals and adulation, our team is rewarded with shareholder value and the pride of a job well done. Thank you for your investment and trust in us and have a great day.
Operator: Ladies and gentlemen, that concludes today's presentation. You may now disconnect and have a wonderful day.